Operator: Good day, ladies and gentlemen and welcome to the Fourth Quarter Silicon Motion Technology Corporation Q4 2015 Earnings Conference Call. My name is Jason. I'll be your conference moderator for today. At this time, all participants are in a listen-only mode. Later we'll conduct a question-and-answer session. [Operator Instructions] Before we begin today's conference, I've been asked to read the following forward-looking statements. This conference call contains forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934, as amended. Such forward-looking statements include without limitation, statements regarding trends in the semiconductor industry and our future results of operations, financial condition and business prospects. Although such statements are based on our own information and information from other services, we believe to be reliable, you should not place undue reliance on them. These statements involve risk and uncertainties and actual market trends and our results may differ materially from those expressed or implied in these forward-looking statements for a variety of reasons. Potential risks and uncertainties include, but are not limited to continued competitive pressure in the semiconductor industries and the effect of such pressures on prices, unpredictable changes in technology and consumer demand for multimedia consumer electronics, the state of any changes in our relationship with our major consumers and changes in political, economic, legal and social conditions in Taiwan. For additional discussions of these risks and uncertainties and other factors, please see the documents we file from time to time with the Securities and Exchange Commission. We assume no obligations to update any forward-looking statements, which applies only as of date of this conference call. I would now like to hand the presentation over to our host, Mr. Jason Tsai, Senior Director of Investor Relations and Strategy. Please proceed.
Jason Tsai: Thank you, and good morning, everyone. Welcome to Silicon Motion's fourth quarter 2015 Financial Results Conference Call and Webcast. My name is Jason Tsai and with me here is Wallace Kou, our President and CEO, and Riyadh Lai, our Chief Financial Officer. The agenda for today is as follows. Wallace will start with a review of some of our recent business developments. Riyadh will then discuss our fourth quarter financial results and provide our outlook. We will then conclude with Q&A. Before we get started, I'd like to remind you of our Safe Harbor policy, which is read at the start of this call. For comprehensive overview of the risks involved in investing in our securities, please refer to our filings with the U.S. SEC. For more details on our financial results, please refer to our press release, which is filed on Form 6-K after the close of market yesterday. This webcast will be available for replay on our website www.siliconmotion.com for a limited time. To enhance investors' understanding of our ongoing economic performance, we will discuss non-GAAP information during this call. We use non-GAAP financial measures internally to evaluate and manage our operations. We've therefore chosen to provide this information to enable you to perform comparisons of our operating results in a manner similar to how we analyze our own operating results. The reconciliation of the GAAP to non-GAAP financial data can be found in our earnings release issued yesterday. We ask that you review it in conjunction with this call. With that I will turn the call over to Wallace.
Wallace Kou: Thank you, Jason. Hello, everyone and thank you for joining our earnings call. I am pleased to share with you the results of our strong quarterly and full year performance. Silicon Motion 2015 full year revenue and EPS was highest in our company history. Also in the fourth quarter, we beat the seasonal weakness to deliver both gross and record quarterly revenue and just as important, we exited 2015 with a momentum of a strong pipeline for business activities, in fact 2016 to be another strong year. As the world's leading NAND flash controller company, we're a key enabler and beneficiary of the increasingly widespread use of solid-state storage solutions, embedding devices used in the environment that range from mobile to computing, industrial and hyper scale. We've steadily expanded into each one of these markets and build leadership positions. We're the merchant market leader in EMMC for smartphone device and tablets. We're also the merchant market leader in SSD used in PC and other client devices. Recently we've also started shipping high performing enterprise-grade SSD for datacenters. All of these products address the need for important northern growth markets. Already we supply NAND Flash Controller IC than any other company in the world. From 2010 to 2015 over this five-year period, we have grown our revenue either 22% compounded annual growth rate. During the same period of time, our EPS had also grown at 38% compounded annual growth rate. For full year 2015, our revenue grew 25%. Our growth was largely driven by our embedded storage product that grew almost 30% in 2015 and they’ll address a growing demand of solid-state storage devices using a proliferation of applications. Our ten embedded storage products include eMMC and client SSD controllers as well as Ferri industrial SSD and Shannon enterprise SSDs solutions. Our embedded storage products accounted for nearly 50% of our overall 2015 sales, both from about half of total sales in 2014. We believe that the significance of our embedded storage business will likely increase to over 70% of our total sales in 2016. Riyadh will discuss our financial and guidance in greater detail later in the call. Let me now talk about our key products starting with our client SSD controllers. In 2015, our client SSD controller sales increased by roughly four times to over $60 million and was our most important revenue growth driver in 2015. Revenue growth of our client SSD controller has made this product line our second largest after eMMC controllers. In the fourth quarter, sales our client SSD increased by nearly 20% sequentially and accounting for nearly a quarter of our total sales up from about 20% in the previous quarter. As a result of our rapid client SSD sale growth, TrendForce the memory industry market research company believes that by the second half of 2015, Silicon Motion had become the world's largest merchant supplier of clients SSD controllers. We believe our client SSD market share will likely increase further in 2016 as we continue to rapidly grow sales from over $60 million to more than $90 million and client SSD will remain our most important growth driver. Accommodating strong continued client SSD sales growth is a result a multiple SSD platform wins in several OEM customers. Unique product using our differentiated technologies and our turnkey SSD controller strategy, we had communicated in the past that we have been shipping client SSD controller to Micron and ScanDisk in the first quarter 2015. We saw the shipping client SSD controller to our third flash partner in the fourth quarter and while sales in the fourth quarter were very small we expect sales to our third flash partner to become much more meaningful in the first quarter. We have multiple program wins in all three of our four flash partners and expect sales to each partner to scale further in 2016. We remain on track to start initial sales of our client SSD controller to our fourth flash partner around mid 2016. In 2015, we held Microns successfully bringing premium performance client SSD at affordable pricing to market and bringing the new 60 nanometer TLC flash into production specifically for client SSD. In 2015, we also successfully helped ScanDisk bring to market performance competitive clients SSD led to non-requiring expense DRAM. Starting in the fourth quarter, we started initial sales of our controllers to our third flash partner for their clients SSD that are using lower cost TLC flash. Many of our 2015 business programs will continue into 2016, including refresh programs. In the first half of 2016, we will have several new client SSD programs that will enter production and most of this involve 3D NAND flash and PCIe NVMe solutions. We believe the market for client SSD will continue to grow rapidly with increasing adoption of SSD by PC OEMs and we have been spending pricing from this trend. We've also been benefiting from our NAND flash partners client SSD market share gain and are delighted to have played a helpful role. The majority of our customer's client SSD sales in 2015 or for the channel market, which has been growing robustly from retail sales to individual consumers and from commercial sale to system integrator, corporate and datacenter operators. In 2015, our customers also started selling their client SSD with our controller to PC OEM. As of today, four out of the top five PC OEMs are ready shipping PCs with SSD using our controllers. In 2016, we believe the majority of our incremental client SSD controller sales will be for PC OEM market. We believe the adoption of SSD by PC OEM will accelerate even more when the price of 200 PCIe gigabyte SSD covers more closely with HDD and this will likely happen in the second half of 2016, when the SSD using 48 stack TLC 3D-NAND flash become available. We are well positioned as a market leading merchant client controller supplier and we look forward to growing sales even more in 2016. Our highly computable hardware plus firmware turnkey controller solution is unique in the marketplace. We are the only merchant controller vendor with the necessary hardware plus firmware technologies qualified to supply to the NAND flash vendors enable to meet their very demanding high performance and high quality requirement. With each generation of our controllers, our solution and technology are getting better and better track record is more extensive and our leadership should likely extend even further. Let me now turn to our eMMC controllers. As expected demand for eMMC controller in the fourth quarter remained stable compared with the third quarter. The led to modest full year eMMC growth largely in line with muted smartphone field rate growth. As many of you know China smartphone OEM built excessive number of smartphone as the end of 2014. This OEM and their channel partner spend the first half of 2015 working off the excess smartphone inventory in China and as a result smartphone building rate and the demand for eMMC were low and lower than what we had originally expected. We believe this excess inventory issue was largely a result by the third quarter of 2015 and demand for eMMC in the second half of 2015 return to at more normalized levels. In 2016 based on our flash partner's business plans, we should be able to grow our eMMC controller sales at least in line with global smartphone growth rate of 5% to 10%. In the second half of 2015, we saw transitioning most of our eMMC controller sales to eMMC 5.0 and 5.1 and some of these controllers are supporting low cost TLC flash. We expect this trend to continue in 2016. Globally the majority of the new demand and replacement demand for smartphone will continue to be for mainstream and low cost devices. These devices primarily use cost effective eMCP solutions. Embedded memory solutions that are packaged together mobile DRAM with NAND flash. We believe the sales of eMCPs an important priority focus of SK Hynix of display to their leaders in both DRAM and NAND. Our eMMC controllers are designed specifically of supporting SK Hynix for meeting this priority. For USS 2.0 controllers we have design wins with at least one NAND flash partners and are tracking to begin commercial sales in the second half of 2016. We believe sales of smartphone using USS 2.0 will remain small throughout 2016. So do not anticipate large sales for USS 2.0 controllers this year. However our USS 2.0 controllers are designed to be high performance and very cost effective three important criteria necessary for driving product adoption of USS 2.0 by smartphone OEMs. More widespread adoption of USS 2.0 in 2017 by smartphone OEM should lead to much larger sales of our USS 2.0 controllers. Let me now move on to update everyone on the progress of our Shannon system enterprise grade PCIe SSD business. Sale of our PCIe SSD solution nearly doubled in the fourth quarter as we grew sales with customers, mostly China leading eCommerce companies. Our main four eCommerce customers include online marketplace operators, sales specialists, travel agencies, restaurant review, group buying and attendant ticketing, mobile security and the travel database. China is already the largest internet market in the world today and one of the world’s largest enterprise SSD market. Our enterprise SSD are highly specialized and focused on most differentiate end of the markets. Customized enterprise SSD solution and government related protected markets. Our highly differentiated product include features that combine larger capacities, highest eye-ops, lower latency, lower power and parallel performance stability. We also provide customer that require customized SSD solution with extensive local R&D and rapid response, on the ground field engineering support. Additionally we benefit from China increasingly protection in listed technology sourcing requirement that apply to government agency and stay or control enterprise such as the Telcos, utility and financial institutions. By focusing on these niche areas we limit potential conflict with our many flash partners who are both large customer of our controllers and who will own for supply of NAND flash component for our enterprise SSD. Our enterprise SSD solution are being developed by our eCommerce customers to manage their hyper scale operation from online content distribution to business transactions, big data analysis, inventory management and tracking and shipping logistic. We expect a market of high end enterprise being China to grow annually by at least 15% for next few years and we’re confident that we can match or exceed the market growth. Based on rapid market growth and our current business development activity, our enterprise SSD should be able to deliver $20 million to $30 million of sales in 2016 and the scale to $75 million by 2018. Overall we’re pleased with the continued progress that we’ve been making across our embedded storage products. Wireless and broader semiconductor market has been affected by challenging macroeconomic conditions. We’re fortunate to be focused on industry segment that have faced less headwind. In this industry growth segment, we’re building on our dealership positions. We will continue to expand our portfolio of growth products in Tier 1 OEM customers. I’ll now turn the call over to Riyadh to discuss our financial performance and outlook.
Riyadh Lai: Thank you, Wallace. First I’ll outline our financial results and then provide our guidance. Our solid results for the fourth quarter provided us with a strong finish for the full year. For the quarter, we delivered $98 million of sales, up 3% sequentially at the high end of our guidance at a record high. For the full year 2015 we delivered $361 million of sales, up 25% at the high end of our initial guidance for the year and also a record high. For the quarter our storage products grew 8% sequentially, which is more than offsetting a 30% sequential decline at our specialty RFIC sales, which are now 9% of total sales declined due to mobile TV SOC customer project cancellations and consolidations. While Korean domestic smartphone sales remained stable, sales to Brazil and other markets have retrenched. Our RFIC sales were also affected by a wind-out of our LT transceiver program. For the full year, our storage products grew 25% and our RFICs grew 27%, both contributing positively to our full year 25% growth. Our quarterly storage product sales growth was led by our embedded products, which are comprised of our EMMC and SSD controllers, plus our Shannon and Vera store solutions. Sales of our embedded products grew almost 15% sequentially to account for about two thirds of total revenue. Sales of our expandable products our card and USB flash drive controllers were stable sequentially. Our client SSD controllers grew 20% sequentially. Our EMMC controllers were stable and enterprise SSDs nearly doubled. For the full year 2015, our storage product sales grew 25%. Embedded products grew almost 50% to account for about 60% of total revenue. Expandable products declined 5% to 10%. Our client SSDs grew from roughly $15 million in 2014 to over $60 million in 2016, slightly exceeding our original expectations. Our EMMC controller sales grew modestly. We benefitted from six months of enterprise SSD consolation with sales under $10 million. Our corporate gross margin decreased to 50.1% in the fourth quarter from 51.6% in the prior quarter in line with our guidance. This quarter our embedded storage gross margin continued to remain above corporate average. Our expandable storage gross margin on the other hand remained below corporate average and dipped a bit as a result of segment product mix shifts. Within our expandable products we were more successful of defending our USB flash drive market position and SD cards and grew our USB flash drive sales, but these are our lowest gross margin products. Compared to our EMMC and client SSD controllers, we face many more competitors in the card and USB flash drive controller markets. In the fourth quarter, our operating expenses decreased to $25.3 million as compared to $25.8 million in the third quarter due to lower R&D expenses. We ended the fourth quarter with 973 employees, 28 more than the end of the previous quarter. Most of our new hires are R&D engineers. Operating margin was 24.4% in the fourth quarter, a little lower than 24.5% in the third quarter. We achieved quarterly net income of $19.7 million and earnings per ADS of $0.55. For full year 2015, we generated earnings per ADS of $2.11, 24% more than the prior year. Stock rate compensation in the fourth quarter was $5.2 million higher than the $3.4 million in the third quarter due to seasonal timing of RSU Awards. I will now move to our balance sheet and cash flow. Inventory days decreased to 91 days in the fourth quarter from 99 days in the third quarter. DSO increased to 54 days in the fourth quarter from 51 days in the third quarter. Payable days decreased to 34 days in the fourth quarter from 40 days in the third quarter. Cash, cash equivalent and short-term investments increased to $185.2 million in the fourth quarter from $183.7 million in the third quarter. Primary sources of cash in the fourth quarter came from $19.7 million in net earnings, primary sources of cash in the fourth quarter -- uses of cash in the fourth quarter included increase in AR consumed $2.5 million, increase in AP consumed $.7 million, $12 million for the purchase of additional operating facilities, $2.2 million for the routine purchases of software and design tools, $4.6 million paid on previously deferred Shannon acquisition payments, $5.2 million for quarterly dividend payments. I will now turn to our guidance. For the first quarter we're expecting our sequential revenue growth of down 2.5% to up 2.5%. We expect continued embedded storage sales growth to largely offset anticipated expandable stores seasonal weakness. We expect sales of our EMMC and client SSD controllers to both grow in the first quarter. Shannon Systems is expected to trend stably from the fourth quarter to the first quarter. Sales of our expandable storage controllers and RFICs are both expected to decline. Gross margin in the first quarter is expected to be 49% to 51%. Operating margin in the first quarter is expected to be in the 23% to 24% range. Stock-based compensation in the first quarter is expected to be $2 million to $2.2 million. For the full year 2016, we're expecting revenue growth of 12% to 20%. This year we expect embedded storage to grow strongly again with client SSD controllers sales to grow from over $60 million in 2015 to at least $90 million in 2016. Our eMMC controller sales to grow at least in line with the expected 5% to 10% global market growth of smartphones. Our Shannon Enterprise SSD sales to grow to $20 million to $30 million. We expect our expandable storage controllers to decline about 10%. This year while we will likely continue to have LTE sales given the poor visibility of our LTE transceiver sales, we are not including projected LTE sales into our revenue guanine. Without LTE sales our RFIC projections will decline this year. Gross margin for 2016 is expected to be 49% to 51%. Operating margins for 2016 is expected to be in the range of 23% to 25%. Stock-based compensation for 2016 is expected to be $13 million to $15 million. Our model tax rate remains at 18%. We will now open the call for your questions.
Operator: Thank you. Ladies and gentlemen, we would now begin the question-and-answer session. [Operator Instructions] The first question comes from the line of Monika Garg from Pacific Crest Securities. Please go ahead. Ms. Garg your line is open. Please un-mute locally.
Monika Garg: Yes sorry about that. I was on mute. thanks for taking my question. When do you expect to ramp revenue from 3D NAND controllers?
Wallace Kou: We expect to ramp 3D NAND controllers from late second quarter of 2016 this year.
Monika Garg: Okay, thanks. Then you were expecting eMMC to show 5% to 10% growth now kind of we’re hearing China slowing down and emerging markets slowing down, do you see any risk to that growth?
Riyadh Lai: We are seeing the Chinese domestic smartphone market becoming saturated, which is leading to decelerated growth in demand. However we're also seeing strong demand from other emerging markets including India, Southeast Asia and Latin America and these regions together represent a market opportunity even larger than what we've seen China over the last few years. These markets are primarily being supplied by Chinese OEMs. So the demand for our eMMC solutions particularly for the low end to mainstream smartphones continue to remain quite robust. We’re also seeing increased adoption of eMCP embedded memory solutions for low end smartphones displacing the raw NAND currently being used adding additional opportunities for embedded business. Nearly half of the world’s mobile phone users today are still using feature phone that has not and have not yet compared over to smartphones. So the market opportunity to supply this market will represent several more years of modest unit growth for the market. As our business model is based upon unit volume growth and not on increasing dollar content or adoption of high end smartphones, we expect to continue to grow consistently and stably despite the challenging smartphone market dynamics and volatility.
Monika Garg: Thanks. Just the last one, on the client SSD side could you maybe remind us like how much was a mix of two bit per sales and three bit last year and how do you see that changing this year?
Wallace Kou: We believe majority of our client SSD controller shipping in last year first three quarters MLC based. So start from late Q3 we're moving from TLC, while Q4 the TLC base will be around 25%, but with the growing demanding from major OEM and NAND procurements and basic demand lower cost SSD, which is stronger demand for TLC PCIe SSD in 2016. We believe in the entire 2016, the TLC PCIe SSD will be more than 50%.
Monika Garg: Thank you so much.
Operator: Thank you for the questions. Our next question comes from the line of Mike Burton from Brean Capital. Please go ahead.
Mike Burton: Hey, guys and congrats on another great quarter and guidance. Just -- really good progress across all front but in client SSD, what do you believe your market share is now and your goal for market share and what do you expect the market growth to be this year versus the growth that you expect in that segment?
Wallace Kou: I think we have already won most of the client SSD controller program released by the NAND flash makers to merchant controller vendor. We already shipping to Micron and SanDisk well to add our third flash customer in the fourth quarter. Our fourth flash partner remain on track to begin production in the year with all the four flash customer ready secure multiple clients SSD program win. So we have the confidence ongoing SSD shipment. We believe in 2015 our market share for client SSD will be around 20% to 25%. Our targets long term will be towards 35% to 40%.
Mike Burton: Thanks and then you're guiding for a better than seasonal March quarter looks like primarily related to the SSD ramp you have in some of the eMMC strength, but given the rapidly changing mix for you guys, how should we be thinking of your seasonality going forward pass the March quarter?
Riyadh Lai: There no consistent quality seasonal patterns for our consolidate sales, our quarterly sales embed many trends, our rapidly scaling client SSD controllers, our more stable eMMC controller sales growth, new addition of Shannon, which has a rather lumpy quarterly seasonal pattern and mature and client expandable storage sales. These trends could change when our client SSD controllers become more scaled out and if a few year's time and Shannon -- and when Shannon reaches the largest scale with a more diversified set of customers.
Mike Burton: Okay. And then last one for if, you could talk a little bit on client SSD, you'll talk a little bit about the inventory situation you're seeing in that market and some other semiconductor companies actually describe some weakness in notebooks and SSDs in general, you guys are obviously growing right through that, but do you see any sort of inventory within the client SSD market right now? Thanks.
Riyadh Lai: We see the current inventory suggestion is low today in the channel on OEM side.
Mike Burton: Perfect, thanks.
Riyadh Lai: But we do not believe there any inventory issues related to client SSD solutions or client SSD controllers.
Operator: Thank you for the questions. Next question comes from the line of Charlie Chan from Morgan Stanley. Please go ahead.
Charlie Chan: Hi, Wallace, Riyadh and Jason. Congratulations for the solid gross sales. So my first question is on the margin trend and the ASP trend for your SSD controller because you're adding several high end products in your portfolio. So how should we think about the blended ASP trend for the SSD controller and combined with your potential cost reduction by migrating to more advanced [indiscernible] foundry, can we expect margin expansion for the SSD controller this year?
Riyadh Lai: Product by product, part by part our gross margins are fairly -- have been fairly stable and we believe will continue to be fairly stable, but having higher gross margin products this is giving us a opportunity to blend it down by being more aggressive with products with lower gross margin such as our expandable products. In our most recent quarter, our gross margin decreased from the prior quarter's 51.6% to this quarter and this Q4 is 50.1% and this is the result of embedded storage gross margin continuing to be about corporate average and our expandable grows margin products also continue to be below corporate average but these expendables have dipped a bit as a result of expandable product mix shifts. Within our expandable storage products, we have USB flash drive and card controllers. Our USB flash drive sales increased in the most recent quarter whereas our card controllers decreased. Our USB flash drive controllers are our lowest gross margin products and so by selling more of those products our gross margin for expendables have come down, which has affected our gross margin for this quarter.
Charlie Chan: So my follow-up question is really on the disk removal cards controller business. Is it fair to say now is a purely commodity and is very hard to differentiate anymore?
Wallace Kou: Well, I won't say it's hard to differentiate anymore. I think we remain to the high end, more differentiated and more dependable solution for expandable storage. For example SDA now we're leaving the position to launch higher rent and IR performance for the card. It's the first time for the card marker try to match embedded solution. So this could create a potential growth in the future and you have a better technology because Google, Android 6.0 and 7.0 require higher end performance. So I think clearly, we see the margin saturated and the price is very competitive. But as there will be opportunity for us to focus on high end and differentiated solution to sustain our market share and potentially also stabilize our sales revenue.
Charlie Chan: Okay. Thank you, Wallace. So my next question is on the RFIC business outlook. So it seems like your visibility on the LTE transceiver is very low this year, but I think this business is captive business with your key customer. So will your customer compensate your safe cost for example the fixed R&D cost given your renewal likely to be very small for this year?
Wallace Kou: Yes. I think that we're not developing new LTE product in 2016. However, we'll continue selling business opportunity with Samsung and other LTE modern player. So I think that we're not going to tape our new LTE products in 2016, but R&D, because they can be used for other product line in TLC.
Charlie Chan: Okay.
Riyadh Lai: Charlie, let me just also add as Wallace mentioned, we've been working on a few other opportunities outside of Samsung and potentially also within Samsung. But a lot of these projects are still early stage and if they do become something more material, we will be talking about them.
Charlie Chan: Okay. Understood. Thank you very much.
Operator: Thank you for the question. Our next question comes from the line of Anthony Stoss from Craig-Hallum. Please go ahead.
Anthony Stoss: Hey guys. Nice execution in a weak macro. Two part question. Can you talk about maybe beyond just 2016 what you expect growth rate wise for Shannon Systems and how the gross margin might change over time on Shannon? And I don't know if I missed this, but if you would mind talking about your PCIe controller for 2016 kind of the expected timeline of when you think the ramp will begin thanks?
Riyadh Lai: For Shannon Systems, we completed our acquisition mid of 2015. So for 2015 we consolidate half year sales, half year sales equated to under $10 million revenue. For this year 2016, we expect Shannon to do about $20 million to $30 million. And based on the business development activities that are taking place at Shannon, we feel fairly comfortable that Shannon should go up to -- should be able to grow their revenue to about $75 million by 2018.
Wallace Kou: Regarding our PCIe product, we’re engaged with two flash makers for PCIe solution. We believe on current pipeline development process we believe the product will be ramped up later to Q3 timeframe this year.
Riyadh Lai: Let me also get back to you on your other question about gross margin, we’re not going to talk specific about each one of our embedded products gross margin profile, but what I can say is our overall embedded storage gross margin is about corporate average. Part by part, our gross margins have been fairly stable and we expect this trend to continue this way.
Operator: Thank you for the questions. Next question comes from the line of Tom Sepenzis from Northland Capital. Please go ahead.
Tom Sepenzis: Yeah. I’m sorry can you just talk about the emerging markets you mentioned a couple that I think it was Latin America, Southeast Asia and somewhere else that you were seeing growth and you expect that could actually be bigger than what you've seen in China over the last couple of years? Did I hear the correctly?
Riyadh Lai: Yeah, I believe this relates to overall smartphone unit growth. For this year 2016, we’re expecting smartphone unit growth to grow somewhere in the 5% to 10% growth rate and this I believe is fairly consistent with forecast from other parties within the industry including Qualcomm and others, markets research firms, brokerages. So I think our forecast are well within this range and this is based on the forecast of growing 5% to 10% includes both replacement demand from more developed market as well as consumers buying their first smartphone from emerging markets and some of these emerging markets like India, Latin America and other markets are fairly large and we believe represents plenty of opportunity for modest later growth for the foreseeable future.
Tom Sepenzis: Great. Thank you and a couple of other companies have mentioned on their quarterly calls here in the last week or two that they're starting to finally see some uptick of 4G in India. I’m just curious as to whether you're seeing as well?
Riyadh Lai: We don’t make smartphones. So I think we’re not best place to talk about that. We make controller for eMMC and India is a great opportunity for Hynix to be selling their phones -- their controllers -- their eMMC into that market. A lot of the very low end smartphones in India and some of the other markets are using raw NAND and so by converting the usage for new models from raw NAND to eMCP, this represents upside opportunities for our business.
Tom Sepenzis: Great, thank you and congratulations on the quarter and the outlook.
Operator: Thank you for the questions. Next question comes from the line of Jaeson Schmidt from Lake Street Capital. Please go ahead.
Jaeson Schmidt: Hey guys, thanks for taking my questions. Wondering if you could talk about how we should look at the industrial SSD business both this year and going forward?
Riyadh Lai: The global industrial SSD business is growing and they cover from measuring motion, multi-function printers, industrial PCs through automotive. So we see the trend is the growing, however currently the total volumes are still relatively small compared with commercial consumer client SSD. But industrial SSD, the gross margin is better than consumer commercial SSD. So we think that in the next few years, maybe we can grow scale to a certain level and that will have a more visible contribution to our sell revenue and NAND profit.
Jaeson Schmidt: Okay. And then looking at the client SSD market, are you guys seeing any changes from a competitive landscape point?
Riyadh Lai: So far I think we are the only merchant controller player with both hardware firmware solution and qualified by NAND maker and PC OEM and I think most of the NAND SSD maker focus on the internal controller resource enterprise SSD for high end. For mainstream high volume and I think we can provide the total solution with a occupied solution and with high quality and good performance. That’s why I think we have a better economy of scale and we have very deep and broad management technology and our focus business is streamlined to focus specifically on profiling solution well. So that’s why I think currently we did not see any competitor threaten our market position.
Jaeson Schmidt: All right, thanks a lot.
Operator: Thank you for the questions. Next question comes from the line of Suji De Silva from Topeka. Please ask your question.
Suji De Silva: Hi guys, congratulations on a strong year results here. For the PC market the OEM market the SSD attach rate, can you talk about where you think it is right now and what you think it might grow to exiting '16 whether that will ramp up or stay level?
Wallace Kou: Regarding the client SSD PC market, we think in commercial -- in commercial product line, we believe the adoption rate for SSD is above 50% in 2015, but consumer lines is just about 10% or less. So I think going forward I think the adoption rate majority will come from commercial lines and in commercial note book. So I think we believe by the end of 2016 and I think it will be probably more than 60%, 70% for SSD based on the price trend. However, we also hear the feedback from NAND maker if a 200 gigabit SSD to price for either $14 range there will be majority PC maker will link through SSD even for some desktop or consumer PC.
Suji De Silva: Great and then your relationship with SanDisk, I’m wondering if you see any impact from the pending SanDisk Western Digital merger and any thoughts -- if not any thoughts on what they’re maybe due for that relationship either -- are there opportunities or risks to that?
Wallace Kou: We do not foresee any impact of our business as a result of Western Digital acquisition of SanDisk. The demand for third-party merchant controller remains strong and Western Digital does not possess any controller technology or semiconductor technology for client SSD or expandable storage. So we still see seasonal opportunity for us with new combined company. Many believe that that will be well relied on SanDisk growth, the client SSD and the expandable storage business. Our business engagement and relationship with SanDisk should remain unchanged.
Suji De Silva: Great. And then my last question it’s been a couple of quarters now since you’ve acquired Shannon Systems. I’m wondering your thoughts on further acquisitions, any product holds or whether you’re still in the process of digesting Shannon before you do more activity? Thoughts there would be helpful, thank you.
Riyadh Lai: Shannon was a very exciting acquisition for us. With Shannon we're now a leading vendor of enterprise SSDs to the Internet companies in China that service some of world’s largest internet markets. We will continue to look at M&A opportunities, but now that we closed the acquisition our immediate priorities include integrating Shannon and helping them to scale their revenue.
Suji De Silva: Great, thanks guys.
Operator: Thank you for the questions. Our next question comes from the line of Mike Crawford from B. Riley & Company. Please go ahead.
Mike Crawford: Thank you, Riyadh you talked about Shannon sales trending stably in Q1 which by that I think you mean flat at near $6 million for Q1, but then if you just kept that rate flat through the year, that's already the midpoint of the $20 million to $30 million guidance you gave for the year, which doesn’t -- is that you’re being conservative or is there something else potentially going on there?
Riyadh Lai: The revenue for Shannon in Q1 should be fairly stable compared to Q4. Shannon’s revenue because of its more concentrated customer mix of large customers can be quite lumpy quarter after quarter. For the full year, we're expecting revenue in the $20 million to $30 million range.
Mike Crawford: Okay. Thank you and then further regarding Shannon, you did pay another $4.6 million towards that acquisition in Q4 and I believe there might be $32 million still remaining to be paid and can you remind us A, if that's accurate and then Billion, what the timeline might be for those payments.
Riyadh Lai: Our final purchase price of Shannon was $55.6 million. We paid $51.6 million at closing midyear $40.4 million was in cash and remaining was in stock. We then made for that payment of the $40 million was not paid completely at that point in time. $4.6 million was deferred and for that amount we paid that in the fourth quarter.
Mike Crawford: Great. So that’s done and then you also had this one-time facilities purchase in Q4, which you invested $12 million of cash and is that -- do you expect -- when is the next time you might have to do more of a outsized CapEx investment beyond the lower maintenance levels we've seen?
Riyadh Lai: The purchase of our facilities relates to integrating our Shannon business with our other operations in Shanghai in order to drive synergies and work more efficiently and more cooperatively we've pulled our teams into one new location and so the purchase relates to operating facilities for our combined team.
Mike Crawford: Okay. Great thanks. And then final question is on the client SSD trend, how do you see your ASP's there today versus what it might be a year or two from now?
Riyadh Lai: Our ASP's rollout products are fairly stable and they’ve been very stable over last many years and we believe we will continue to be very stable over the coming period of time. All the products that we have long track records including expandable products, they've been consistently around $0.25 for EMMC that we've been shipping since 2011, 2012. They’ve consistently been about $0.50. We have a shorter track record for our client SSD's and we believe that we've been shipping the ASPs have been around $5 and should remain at this level.
Wallace Kou: So let me add a comment, when move to PCIe product naturally will be higher than the SATA controller. So because PCIe in the much bigger die size so relative PCIe will be higher in SATA controller.
Mike Crawford: Great. Thank you very much.
Operator: Thank you for the questions. Next question comes from the line of Rajvindra Gill from Needham & Company. Please go ahead.
Josh: Hi this is Josh in for Rajiv. Thank you for taking my questions and congratulations on the continued results. I just wonder -- most of my questions have been asked already, but I just wanted to clarify did you say that the LTE business is not included in the fiscal year guidance or is there no growth included?
Riyadh Lai: That’s correct, we have not backed in LTE -- projected LTE revenue into our full year guidance this year. While we're expecting some amount of LTE revenue this year because of the poor visibility of this LTE revenue stream for purposes of providing guidance we have not baked in any LTE revenue assumptions into our full year guidance.
Josh: Okay. Thank you and then regarding the 256 gigabit, when do you expect to cross that $40 threshold?
Riyadh Lai: We believe when 3D TLC NAND reach the $48 stack and the 256 gigabyte SSD, probably won't hit the $40 range. And this has happened as early as sometime late this year.
Josh: Okay. Great. And then just my last question I know in the past you talked about maybe working with some customers on EMMC, being honest, can you maybe talk about any progress you’ve made there? Thank you.
Riyadh Lai: Yes, we do have some others EMMC customers I think the -- we’re emerging controller supplier. So we always explore business -- opportunity with many flash partners. So currently I think because highly consensus they’ll almost as 80% of EMMC controller. However, we do work with several other module maker including one smartphone maker for EMMC solution collaboration.
Josh: Okay. Thank you and congratulations again.
Operator: Thank you. Next question comes from the line of Daniel Amir from Ladenburg. Please go ahead.
Daniel Amir: Great, thanks a lot. Thanks for squeezing me in. So on the expandable storage part, historically in the past few years this business has declined around low single digits. You’re now guiding this business to decline about 10% in 2016. So what's changing there? Is it you're walking away from business? Is pricing gotten a lot worse? What's the thought process around that business now?
Riyadh Lai: That there will be market for expandable products memory cards and USB flash drive, these are very mature markets. These are also markets that are in secular decline, have been in secular decline for a number of years. We believe that these trends will continue. Last year just in 2015 our expandable sales declined about 5% to 10%. We believe this year probably declined by a similar range and so for purposes of providing guidance we believe declined 10%.
Daniel Amir: Okay, 10% is a little different than 5% and so it’s more like 5% to 10% similar like it was as in '15?
Riyadh Lai: Yeah, that’s right, that’s right.
Q – Daniel Amir: Okay. So follow-up question just on the RFIC business, you’re doing obviously extremely well in your SSD business growing markets. What's really the rationale to continue invest in this business? It doesn’t seem like there is many synergies with the other parts of the business. You’re now not really investing anymore in LTE, skill set of some of the engineers on the RF is different than the skill set that you need on the storage side and it seems like this business has become somewhat volatile at least on the mobile TV segment from quarter to quarter. So it’ll be great to just get a little more clarity a bit on the strategy of this business segment given that it’s still 7%, 8% of your revenues?
Wallace Kou: So Daniel I think as you know that LTRs alone you cannot sell that, you need LTE modem partner together. And while we sent some five years ago they don’t have LTRS, now they have their own internal solution. So by natural they will try to prefer using internal solution. However LTE is not just only used for Smartphones. They can use a very wide range applications including the car, tablet and also M2M applications. So I think we are working with them some and try to support supply the area they don’t have internal resource to do and we can still sell LTE, RF user product. The same token China also have growing LTE base the developers. So we're also looking for opportunity how we can collaborate to grow their total LTE solution together. So we’re not using the R&D to develop a new LTRF. However we are looking to expand potential solution to continue to maintain LTE sell revenue. You’re correct LTRF engineer cannot do SSD hardware development. But our RF is really very wide range and we do have some other new products, which are not LTE they relate to wireless areas. When it become mature and become more visible, we will introduce to all the analysts and the shareholder.
Riyadh Lai: Daniel, let me also add, our FCI business did very, very well last year. They grew well over 25% revenue growth. We're -- as Wallace mentioned, we continue to look for additional challenge channels for LTE products and the timing and visibility of these potential projects are uncertain. And so as we've always said, if our LTE business does not meet our long-term growth and profitability objectives, we could be open to strategic options.
Daniel Amir: Okay. Great. Thank a lot. Thanks for clarification.
Operator: Thank you for the questions. With that, ladies and gentlemen, I would now like to turn the call back to Mr. Wallace Kou for closing remarks.
Wallace Kou: I would like to thank all of you for joining us today and your continued interest in Silicon Motion. We will be at the following conference this quarter. In March we'll be presenting at the Morgan Stanley 2016 TMC Conference in San Francisco, Northland Capital Markets 2016 Growth Conference in New York, Susquehanna's Fifth Annual Semi, Storage & Technology Conference in New York, UBS Technology One-on-One Conference 2016 in London, Merrill Lynch Conference in Taipei, Morgan Stanley Hong Kong Investor Summit in Hong Kong. Details of these events will be available on our website. Thank you and goodbye for now.
Operator: Thank you ladies and gentlemen, that does conclude our conference for today. You may now disconnect your line.